Executives: Amy Cairncross Gordon M. Nixon - Chief Executive Officer, President and Not Independent Director Morten N. Friis - Member of Advisory Board Janice R. Fukakusa - Chief Administrative Officer and Chief Financial Officer Doug Guzman - Managing Director and Head of Global Investment Banking Stan Nikiforou - Director David I. McKay - Group Head of Personal & Commercial Banking Mark A. Standish - Co-Group Head of Capital Markets and Investor & Treasury Services M. George Lewis - Group Head
Analysts: Steve Theriault - BofA Merrill Lynch, Research Division John Aiken - Barclays Capital, Research Division Gabriel Dechaine - Crédit Suisse AG, Research Division Michael Goldberg - Desjardins Securities Inc., Research Division Robert Sedran - CIBC World Markets Inc., Research Division Peter D. Routledge - National Bank Financial, Inc., Research Division Mario Mendonca - Canaccord Genuity, Research Division John Reucassel - BMO Capital Markets Canada Stefan R. Nedialkov - Citigroup Inc, Research Division J. Bradley Smith - Stonecap Securities Inc., Research Division
Operator: Good morning, ladies and gentlemen. Welcome to the RBC 2013 First Quarter Results Conference Call. I would now like to turn the meeting over to Ms. Amy Cairncross, Head of Investor Relations. Please go ahead, Ms. Cairncross.
Amy Cairncross: Good morning, and thank you for joining us today. I'm also joined by Karen McCarthy of Investor Relations. Presenting to you this morning are Gord Nixon, our President and Chief Executive Officer; Morten Friis, our Chief Risk Officer; and Janice Fukakusa, Chief Administrative Officer and CFO. Following their comments, we will open the call for questions from analysts. Call is 1 hour long and will end at 10 a.m. [Operator Instructions] Joining us for your questions today are George Lewis, Group Head, Wealth Management and Insurance; Doug McGregor, Chairman and co-CEO, Capital Markets and Co-Head of Investor and Treasury Services; Dave McKay, Group Head, Personal & Commercial Banking; Mark Standish, President and co-CEO, Capital Markets and Co-Head of Investor and Treasury Services; and Zabeen Hirji, Chief Human Resources Officer. As noted on Slide 2, our comments may contain forward-looking statements, which involve applying assumptions and have inherent risks and uncertainties. Actual results could differ materially from these statements. I will now turn call over to Gord Nixon.
Gordon M. Nixon: Thank you, Amy, and good morning, everyone. We appreciate you joining us today and hope that some of you can attend our Annual Shareholders Meeting, which follows this call from Calgary. It will of course, be broadcast. As you can see from our results on Slide 3, RBC is off to a strong start in 2013. We earned over $2 billion this quarter, up 12% from last year and 8% from last quarter, and our earnings per share were $1.36, up 11% from last year. These results were driven by record earnings in Personal & Commercial banking and Wealth Management, as well as a strong quarter in Capital Markets. I'm also pleased to report that we announced a $0.03 or 5% increase to our dividend, bringing the quarterly dividend to $0.63. This is the fourth increase in 2 years, representing a 26% increase since the first quarter of 2011. This quarter, we delivered a strong return on equity of 19.6% even with the higher capital requirements of Basel III, which is now effective for all Canadian banks. Our all-in Basel III Common Equity Tier 1 ratio of 9.3% is well above both our internal and regulatory targets, which Janice will expand on in her remarks. Overall, our first quarter results clearly demonstrate the strength of our diversified business model and our ability to manage cost, while we extend our leadership position in Canada and selectively grow outside the domestic market. Let me now turn to the performance of our businesses. Personal & Commercial Banking had a record quarter with earnings up $1.1 billion, driven by continued momentum in Canadian Banking due to solid volume growth, relatively stable margins and strong cost discipline. There is no question that the Canadian Banking industry is facing slightly slower growth as a result of slower mortgage demand. But notwithstanding these forces, we believe we can continue to achieve or exceed our objective of a 25% growth premium to the market for a number of reasons. First, the size and scale of our distribution network, including our strong mobile sales force allows us to reach more clients at their convenience, and we continue to develop innovative solutions to extend our sales power. For example, our new credit card partnership with Target Canada will provide a great opportunity to broaden our client reach through their network of over 120 stores, which is scheduled to begin operating in the spring. Second, the breadth and quality of our product offerings. We have a strong commercial franchise, excellent financial planning and investment banking capabilities and an extensive cards portfolio. With the acquisition of Ally Canada, we now have a leadership position in Canadian auto finance, an attractive industry and one that we know well. Following the close on February 1, we combined Ally Canada's team with RBC's to form RBC Automotive Finance and have made some changes to the business, all of which we factored into our projections at the time of announcement. Third, RBC has a proven ability to cross-sell more effectively than our Canadian peers, and we see opportunities to provide additional banking products to our existing customer base, as well as new ones, including customers we have gained through our Shoppers Drug Mart partnership. Finally, as seen in our results, we continue to control costs and drive efficiencies, and we have a number of initiatives underway to continue managing the trajectory of expensing rate [ph] revenue growth. One of these initiatives is our retail credit transformation project, which you've heard about in the past, which is close to completion. This significant project has allowed us to automate our end-to-end back-office capabilities so that we can process mortgage applications more efficiently. This has already resulted in significant cost savings, has freed up our sales staff time and has improved the customer experience. We intend to roll this system out to a number of other consumer credit products over the coming years. Turning to the Caribbean where we face ongoing challenges from the economic environment, while we're aggressively managing the business to -- for stronger performance in 2013 and are refining our operating model to improve efficiencies and enhance our competitiveness. Moving to Wealth Management. We delivered record results this quarter. Our leadership position in both Canadian Wealth Management and Global Asset Management continue to deliver strong results and provide a solid foundation of growth. For example, we continue to extend our #1 position in the high net worth segment in Canada and our strength in asset management was again evidenced by the fact that we won the top Lipper Awards for the seventh consecutive year and we were also named fund company of the year by Morningstar. Within Asset Management, we're also pleased with the momentum we're seeing in BlueBay, which has increased its assets under management by 37% in 2012 to over $50 billion, an all-time high. In our U.S. Wealth Management business, we're seeing some good progress as fee-based assets reach record levels and transaction volumes finally started to increase. We remain focused on increasing advisory productivity and efficiency to capitalize on improving market conditions. Internationally, we're building on our global leadership and trust solutions to grow our high and ultra-high net worth client base, as well as positioning RBC Wealth Management for long-term growth in key markets. Moving to insurance. This business continues to make a solid contribution, and we believe our focused strategy serves to differentiate our performance. First, we have broad and diversified product offerings to meet the insurance needs of our customers. In life and health segment, we are focused on less capital-intensive products such as term life and disability. Second, our distribution strategy is premised on driving efficiency by increasing sales through our lower-cost proprietary channels and innovating it to make it easier for customers to do business with us. As one example, we recently expanded our alliance with Shoppers Drug Mart to offer exclusive co-branded travel insurance on the Shoppers' website. Turning to Investor & Treasury Services. It's been 6 months since we've had full ownership of RBC Investor Services and we have made solid progress towards integrating the business. As I mentioned last quarter, we are focused on strengthening the business model to adapt to the challenging operating environment, including aggressively managing costs and streamlining operations to drive efficiencies. Finally, moving to Capital Markets. We had a strong quarter of earnings with significant growth in Corporate and Investment Banking and strong trading, reflecting favorable market conditions this quarter. These results demonstrate the successful execution of our strategy, including a shift to more traditional corporate and investment banking activity, along with repositioning our trading businesses to focus on origination. A key to this strategy has been to strategically extend our balance sheet to deepen client relationships. Since 2010, our loan book has increased by an average of 25% each year, and we've seen a commensurate increase in lending revenue from approximately $800 million in 2010 to over $1.3 billion last year. I would also point out that precrisis, we took our loan book down considerably so that even today, our loans outstanding are quite low on a relative basis. An expected outcome of this growth in our loan book is a moderate increase in provisions. However, I think it's important to emphasize that we are not changing our risk practices. We are satisfied with the attractive returns we're able to generate from this business, and we expect our normalized provisions to be within our target range, which Morten will discuss in his remarks. Turning to our results. Our momentum is particularly strong in the United States. The majority of our loan book growth has originated from the U.S., and we're gaining market share and actively involved in a number of high-profile mandates. For example, RBC financed KKR's acquisition of Alliant Insurance Services, the largest specialty-focused insurance brokerage firm in the United States. We also advised and financed Gulf Oil's acquisition of Houghton International, which involved close teamwork between our U.S. and European offices, as well as strong collaboration with Wealth Management. And more recently, we acted as financial advisor and support of the buyout of Dell, one of the largest leverage buyouts on record. In Canada, we are maintaining our leading market share and continue to manage major transactions for our long-term clients. For example, in Canada recently entered into a joint venture with PetroChina, and RBC was the sole advisor on the transaction. Finally, in Europe, we have a focused strategy of complementing in areas where we have proven capability through the build-out of our coverage model in recent years and we have developed strong client relationships. While activity [ph] levels in this region remain weak, we continue to be a partner of choice for clients. For example, RBC recently led an offering for the U.K.'s debt management offices -- office, our sixth transaction with this client, for a total of nearly GBP 32 billion. As a testament to our success, we were ranked by Dealogic as the 10th largest global investment bank by net revenue in 2012, up 2 spots from 2011, and making it the first time we made the top 10 list for calendar year. To conclude, our results this quarter were very strong and demonstrate the earnings power of RBC across all of our businesses, driven by our leading market positions, the diversification of our business mix, our strong capital position and prudent focus on managing risk and cost. Notwithstanding the industry headwinds, we are confident about our financial performance and competitive position and our ability to deliver against our objectives in 2013. With that, I'll now turn it over to Morten.
Morten N. Friis: Thank you, Gord. Starting with credit on Slide 7. Provision for credit losses on impaired loans were $349 million this quarter, down $13 million over the last quarter or 2 basis points to 35 basis points. This decrease was largely driven by lower provisions in Canadian Banking, partially offset by higher provision in Capital Markets. Within our Canadian Banking portfolio, provisions were $213 million, down $56 million over last quarter or 8 basis points to 26 basis points. This decrease reflects lower provisions on our business lending and residential mortgage portfolios. Provisions on residential mortgages of 1 basis points are consistent with our historical performance. Overall provisions of 26 basis points on our Canadian Banking portfolio are at a historic low, reflecting very strong credit performance across a number of products, including cards. In the Caribbean, provisions on impaired loans were 150 basis points or $27 million, the same level as last quarter. While credit quality has shown some signs of stabilization, better performance of this portfolio continues to be dependent on more sustained improvements in the economic environment in the region. With respect to Capital Markets, provisions were $109 million or 82 basis points, up $46 million compared to the prior quarter, related to a couple of accounts including one corporate account in the U.K. While we expect loan loss provisions within our wholesale portfolio to show some degree of variability from quarter-to-quarter, this quarter's provisions fall at the higher end of our expected range. We manage the corporate loan book on the basis that a normal run rate for -- of provisions for this book is in the range of 50 basis points. Overall, we remain comfortable with the quality of the wholesale loan book. Impairment levels are low, and the number of watch list accounts and accounts with our special loan group remains near historic lows. Approximately 70% of the authorized portfolio is investment grade and is well diversified. It is also governed by a structured and disciplined underwriting process with strict limits on risk concentrations. Turning to market risk. Average market risk VaR was $43 million, and average stress value-at-risk was $78 million with both measures remaining stable compared to last quarter. During the first quarter, we had no days with net trading losses. With that, I'll turn the presentation over to Janice.
Janice R. Fukakusa: Thanks, Morten, and good morning. Turning to Slide 11, we had a strong first quarter with earnings of over $2 billion, up 12% from last year and up 8% from last quarter. As Gord said, we had record earnings in Personal & Commercial Banking and Wealth Management and a strong quarter in Capital Markets. Our results continue to demonstrate our ability to drive top line growth, while prudently managing expenses. I would note that expenses other than variable and stock-based compensation were up approximately 6% from last year, and our full ownership of RBC Investor Services contributed to more than half of this increase. Overall, it was a clean quarter with no items of note. First, let me briefly comment on our capital as this is our first year under Basel III. As noted on Slide 12, our all-in Basel III Common Equity Tier 1 ratio at the end of the quarter was 9.3%. The key difference compared to last quarter's estimated pro forma ratio of 8.4% is the lower level of risk-weighted assets due to the delayed regulatory implementation of the credit valuation adjustment or CVA. Excluding CVA, our ratio was up approximately 30 basis points, driven primarily by strong internal capital generation and slightly offset by the final quarter of IFRS phases. I would also note that the capital impact of our acquisition of Ally Canada, which closed February 1, will be reflected in the second quarter and is estimated at 40 to 50 basis points. Turning to the performance of our business segments on Slide 13. Personal & Commercial Banking earned a record $1.1 billion, up $108 million or 11% from last year, driven by solid volume growth of 7% across all Canadian Banking businesses with particular strength in personal and business deposits and residential mortgages. Sequentially, earnings were up $86 million or 8%, reflecting lower PCL, seasonally lower marketing and professional costs, as well as solid volume growth in Canadian Banking. Looking at our Canadian Banking business, margins were down only 1 basis point from the prior quarter. However, we expect margins will remain under pressure in 2013 given the low interest rate environment, slowing consumer lending and the competitive pressures. We achieved positive operating leverage of 2.6% and continue to make progress on our efficiency ratio, which improved 120 basis points from the prior year to 43.7%. We believe we can continue to generate positive operating leverage and drive our efficiency ratio lower, although we do anticipate quarterly fluctuations due to the seasonality of expenses and the timing of investments. Turning to Wealth Management on Slide 14. We are in the record $233 million this quarter, up $45 million or 24% from last year and up $26 million or 13% sequentially. Favorable Capital Markets conditions and market share gains drove higher average fee-based client assets, increased transaction volumes and semiannual performance fees. Moving to Insurance on Slide 15. Net income of $164 million was down $26 million or 14% compared to last year, as last year included net investment gains and a new U.K. annuity reinsurance contract. Compared to the prior quarter, earnings were down $30 million or 15%, mainly due to higher reinsurance and disability claims costs. Turning to Investor & Treasury Services on Slide 16. Earnings of $80 million were down $3 million from last year as our additional 50% ownership of RBC Investor Services and higher results in this business were offset by lower funding and liquidity revenue. Earnings were up $8 million or 11% from last quarter, primarily reflecting increased foreign exchange revenue and higher custodial fees. Turning to Capital Markets on Slide 17. Earnings of $464 million were up $93 million or 25% from last year. We had strong client growth in our U.S. lending and loan syndication businesses and higher M&A activity. Compared to last quarter, net income was up $54 million or 13%, driven by higher fixed income trading, reflecting increased client activity and favorable market conditions, as well as higher advisory and loan syndication activities. Our results this quarter were negatively impacted by a higher tax rate, reflecting a greater proportion of U.S.-based earnings and higher provisions, which Morten discussed. To wrap it up, we're very pleased with our performance this quarter. As Gord noted, despite ongoing industry headwinds, we believe we are well positioned. At this point, I'll turn the call over to the operator to begin questions and answers. [Operator Instructions] Operator?
Operator: [Operator Instructions] The first question is from Steve Theriault with Bank of America Merrill Lynch.
Steve Theriault - BofA Merrill Lynch, Research Division: So I wanted to ask a question on capital, 2 parts for Gordon. So Gord, with your Basel III Tier 1 Common to 9.3%, I wanted to ask about the buyback. So I think the sense post Ally was that there will be some delay in getting the program underway. But given where you are today and even with the Ally deal coming in Q2, is that still the case? Or should we expect some activity in the near term? And then related to Morten. The 60 bps of tailwind from the deferral of the CVA are to be liaised, would you agree with the notion that when this is implemented in 12 months' time, the callback could be meaningfully lower than the 60 bps given things like more central clearing or model approvals or should we work with the 60 bps?
Gordon M. Nixon: Yes. Firstly, I'll take a shot at both of them and then Morten can jump in because we may have slightly different views. The -- on the buyback program, our expectation, given our high capital levels, is that we would expect to be in a position as we move towards the end of this quarter to look at -- take a serious look at share buybacks. With respect to the 58 basis points, I think it is, it's hard to say but one of the hopes certainly from an executive perspective, I think all the banks are very much aligned on this and we've made the case, is that a deferral of a year is -- it just moves the issue further down. It's -- there's still a big question mark as to whether CVA capital is going to -- it's not going to be incorporated in the U.S. methodology and there's a question mark with respect to Europe. And so our -- certainly, our hope is that it will be more permanent in nature or at least it will be grandfathered in terms of the existing business, but, obviously, that's a regulatory decision that should be asked of OSFI. I do not know, Morten, whether you want to add to that.
Morten N. Friis: No, I think that's a good answer.
Operator: The next question is from John Aiken from Barclays.
John Aiken - Barclays Capital, Research Division: In terms of the contribution to Capital Markets in the regions, we're seeing a shift with earnings declining within Canada but growing significantly in U.S. and Europe. Can you give us a little bit of color around the dynamics that are driving those changes?
Gordon M. Nixon: I'll just repeat the question because there was noise in the line, but Doug and Stan, I'll turn it over to you. But really, I think the question revolved around the dynamics between Canada versus outside of Canada growth in Capital Markets. Is that fair, John?
John Aiken - Barclays Capital, Research Division: Yes, that's great.
Doug Guzman: Okay, John, it's Doug. I'll start and I think Stan may want to add. If you look at the -- some of the slides in the presentation, you could see that there has been considerable loan book growth, and it really is almost all in the U.S. And the reason we're doing that, first of all, because you can because there's so much opportunity in terms of corporate clients. But also, we have a larger number of investment bankers there and just a more -- a bigger platform. In terms of the growth going forward, I think it'll moderate as we go through the year because you get to a point where you've got enough loans on from the size of your platform. But we are still seeing growth through the quarter and a number of new names. So as long as we see credit holding up, we see the provisions in loans holding up and as importantly, margins holding up, we'll keep doing it. But the real key is to do additional business with these customers and we're seeing a very nice ratio of additional revenue where we are a lender.
Gordon M. Nixon: And Doug, I would just add to that. If you compare that with the dynamic in Canada, Canada is basically flat.
Doug Guzman: Yes, well, it's in the slide. I mean, the Canadian investment banking and lending books are both flat. Things are a little more quiet in the commodity sectors. And so we've all seen what's been going on in the mining sector, and we're not as big a lender there as we are in the energy sector, but things are not particularly robust there right now as well. So it's a little quiet in Canada.
Stan Nikiforou: John, it's Stan. I'll just add that with the focus that we talked about now for a couple of years on origination, that is spread across all of the businesses that we have in the U.S. So we've got tremendous breadth right now in terms of the products that we're being to our largest clients, whereas if you go back a number of years and we were looking at a small number of products per client, having got to that sort of critical mass of products with individual clients, we've really started to see our positioning with those clients improve and that's benefited not just the origination side of the business in equity or in debt or the advisory side, but it's also benefited our activity on the sales and trading side.
Operator: The next question is from Gabriel Dechaine from Credit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: A couple of quick ones here. January was cited as a very strong trading quarter by some of your European peers. Was that partially why you're trading numbers were so strong this quarter? Then on the deposits in Canada, for Dave McKay, is it appropriate to look at like the 5-year bond yield, the notional investment rate for those? And can you tell me what proportion of your core deposit is still supporting some of the higher investment yields from several years ago? And then Gord, if you want to throw something in there on the U.S. bank holding company regulatory proposals and having to put capital down into the U.S., how you plan to address that, I'd appreciate it.
Stan Nikiforou: Right, I kick this off with the response to the trading question. And January was certainly an extremely strong month globally for origination, in particular very strong in the U.S. Just some general comments. I mean, we had an exceptionally strong quarter in the sales and trading side. There is some cyclicality to it. The first quarter does tend to be our strongest quarter, but there are really 2 factors at work here. There's the strength in origination, which was extremely strong and, quite frankly, looks like it's going to continue. And we had very good secondary markets. The strength of activity in the secondary markets is looking to ease a little bit. But we had decent volatility, primarily in fixed income, fixed income in the U.S., which really helped with the overall trading numbers. You can see in the Report to Shareholders on Page 28, the VaR usage declined over the quarter and also there were no, as Morten mentioned, no trading day losses. That obviously helps the overall performance and really shows the sort of quarter that we enjoy.
Gabriel Dechaine - Crédit Suisse AG, Research Division: So was there -- is it evenly split throughout the quarter or January a disproportional contributor?
Stan Nikiforou: I wouldn't say disproportionally -- a disproportional contributor. January was definitely the strongest of the 3 months. I think most people would say it was an extremely strong origination month, and I think I've seen some reports that say that in some regions it was a record issuance on the DCM side.
David I. McKay: Gabriel, it's Dave. You should look at our deposit book as funding our loan book over various maturities. So when you see the reinvestment rate into the mortgage business, obviously, it would be coming off as mortgages that were put on 5 years ago at higher rates than they are today. So the NIM compression we're seeing is largely due to that effect that you're referring to.
Gordon M. Nixon: Gabriel, it's Morten. Just on your question on the foreign banks' provision issues in the U.S., I mean this proposal is still in the review period, so we don't know what it's going to look like yet based on our -- so we're studying it and we're providing input to the extent that we can. We believe that the impact here will be manageable. Clearly, it's an increase in the overall regulatory burden and the aspects of this that look like another example of ring fencing and one that national jurisdiction is not helpful. But at this stage, we don't see a significant impact on the overall operations we have there.
Operator: The next question is from Michael Goldberg, Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: A couple of regional-related questions in Canada. How much is origin of the use of product -- the use of deposits that you expect in Ally? And what's actually happening? And why didn't you sell this deposit franchise if you didn't want it? And turning to your mobile sales force, are salespeople bonused for the mortgage rates they bring in? And is this a potential regulatory issue?
David I. McKay: Just referring to Ally, certainly, our actions on the Ally deposit business were part of our strategy when we acquired Ally. When you look at the all-in cost of the deposits Ally were raising, they were very, very high because you have to add the marketing initiatives that were used to bring those in, in addition to the high cost of operating the deposit infrastructure. So certainly, that was a big part of our decision when we acquired Ally to do that. So as far as runoffs, we factored significant runoff because of the coupon they're paying and it's really not an important part of our overall business decision to acquire Ally. We really desired -- decided to acquire Ally for the active origination side of the business. But we can fund, Michael, the Ally business much more efficiently to our existing model and don't really rely on those deposits. Now as far as your mortgage question, the commission structure is affected by the average mortgage rate negotiated between the sales rep and the client. So that certainly is part of the structure and important part of our business model. As far as the regulatory impact, I don't know, but we're not aware of any regulatory impact of that commission structure. It's been in place for a long time.
Michael Goldberg - Desjardins Securities Inc., Research Division: Okay. I guess, just going back to the other question on the Ally. Why didn't you try to sell the deposit franchise?
David I. McKay: Well, given the high cost nature and the complexity of extracting this, our view, scanning the marketplace, was the cost of extracting this business and selling it outweigh the cost savings of unwinding it. And so it's much simpler for us to unwind this business and then to sell it, as you can imagine. Very small depositor base, high-cost operation, I don't think anyone else could have done much more with this.
Operator: The next question is from Robert Sedran with CIBC.
Robert Sedran - CIBC World Markets Inc., Research Division: I just wanted to follow up on the issue of the CVA component of Basel III, and I've got a question for Mark Standish. Mark, does this have any effect on how you're pricing derivatives in the marketplace and especially against the longer dated stuff? And perhaps you can differentiate between the Canadian market where everyone got this holiday for a year and the U.S. market where you're really not competing on a similar footing.
Mark A. Standish: Okay, thanks, Robert. Obviously, a delay of implementation for 1 year really doesn't affect how we are pricing anything other than extremely short-term derivatives. So we are assuming CVA capital into our pricing. We are at a disadvantage, and have been for some time, relative to some of our global competitors. Part of that disadvantage is offset by our credit quality, making us a desirable counterpart. But certainly, the pricing of derivatives, if you properly price them including CVA, has, in the short term, put us at a small disadvantage, but this has been something that we've been living with for some time now.
Robert Sedran - CIBC World Markets Inc., Research Division: Do you feel like, in the domestic market, everyone is behaving under the same approach as you are?
Mark A. Standish: I really can't comment on what other Canadian banks are doing. The disparity of pricing has narrowed in the last year. So a year ago, I think there was a very different view. I think the view is converging now. There's still the odd outlier when we compete for transactions. But for the most part, I think there's a convergence of the view around CVA.
Gordon M. Nixon: The silver lining, obviously, is that, at some point, there'll be a day of reckoning because there has to be convergence. Either the rules will be in place and we -- everybody will have to live by it, in which case, we will have been pricing more effectively over the past year or 2 or the rules won't be, in which case, we will miss an opportunity in the short term perhaps or been at a competitive disadvantage but should have lots of capacity going forward.
Operator: The next question is from Peter Routledge with National Bank Financial.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Yes, just to follow up from the other question on Capital Markets. We see on Slide 25 the revenue mix by geography. I know you don't like to disclose this, but can you give us some sense of contribution on a pretax basis from each geography?
Doug Guzman: I can do it. So that's Slide 25 you're looking at?
Peter D. Routledge - National Bank Financial, Inc., Research Division: Yes.
Doug Guzman: Right. So you can see the -- you can see significant growth in the U.S. So we earned more money in the U.S. this quarter than we did in Canada. And that's after paying a reasonably significant amount of tax in the U.S. The tax rate's quite a lot higher. So we would expect at that run rate that we would, for the first time, make more money in the U.S. this year after-tax than we would in Canada.
Peter D. Routledge - National Bank Financial, Inc., Research Division: And that's the stay [ph], you've built your loan book up, I understand, but there's ancillary revenue benefits from that from better relationships, right?
Doug Guzman: You're right. Well, you can see in the slide -- on the Slide 24, that you can get a hand -- a feel for the increase in the lending revenue because we've gone from $241 million to $365 million. So the balance of that increase year-over-year is in either sales and trading or investment banking fee revenue. And we've had quite significant growth in the fee revenue part of our business.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Right. So you’re a U.S. platform firstly?
Doug Guzman: Pardon me?
Peter D. Routledge - National Bank Financial, Inc., Research Division: You’re a U.S. platform first and foremost now in your business?
Doug Guzman: Well, we're a platform that thinks it's very important to be first in Canada in everything we do and that we're working very hard to stay in that place. But we are seeing more growth opportunities in our U.S. platform.
Gordon M. Nixon: I would describe it as a very powerful North American platform.
Doug Guzman: If you do look at Slide 25, you can see that the European revenues are actually -- and Asia, that $54 million in Asia is actually origination and fee revenue in Australia. We're starting to make some headway in some of these other offices as well, will now the focus of ours going forward.
Operator: The next question is from Mario Mendonca with Canaccord Genuity.
Mario Mendonca - Canaccord Genuity, Research Division: I want to sort of think through the NIM dynamic on a total bank basis, but specifically as it relates to the available-for-sale securities portfolio. Could you run us -- run by us what the duration of that portfolio is, how that yield has changed over time? And if rates were to stay where they are, how that would play out? How -- what would happen to the -- what kind of an impact that would have on the margin, total bank margin, if rates just were to stay where they are? And when that impact would sort of subside?
Janice R. Fukakusa: Mario, it's Janice. I'll answer parts of that question. I don't think that at the margin, is that the NIM on available-for-sale portfolio is a significant driver but -- of the overall NIM. But if you look of the duration, it's anywhere from 2 to 3 years and from time-to-time, we change up the portfolio. I think if you're looking at the impact of how we're positioning our structural balance sheet, we are positioned, as you would imagine, for rising interest rates in the 1- to 3-year range. So when you look at what will unfold over the course of time and look at our NIMs, I think that that's where you may see some movement depending on what our view is on interest rates. And so I think that, to the extent that some of that view is executed through our available-for-sale portfolio because that's how we do our positioning, that's where you would see the impact.
Mario Mendonca - Canaccord Genuity, Research Division: And then so far as available-for-sale securities portfolio, that specifically, is the suggestion -- it's not a particularly important item just simply because the size of the available-for-sale securities portfolio relative to the entire book? Or because the duration itself causes it not to manifest itself on any significant impact?
Janice R. Fukakusa: More about the size of it compared to our book and how we're using it in terms of positioning.
Operator: The next question is from John Reucassel with BMO.
John Reucassel - BMO Capital Markets Canada: A question just for Mark. And Mark, in the past, I've asked about the amount of fixed income trading that's tied to origination activity. I think you said around 1/3 of it. Is that number higher now given all the active originations? Or could you give us an update where that is?
Mark A. Standish: I think, certainly, for this quarter, it's definitely higher than that because of the strength in the amount of origination. We saw a lot of activity on the high-yield side and there tends to be a lot of secondary flow when you see a good high-yield calendar. So we've enjoyed that. Markets were very active, which allowed us to really support client activity very efficiently and move product through the balance sheet very quickly. So yes, I would say for the quarter, it's on the higher end of that sort of range, but over time probably going back to that sort of ratio.
John Reucassel - BMO Capital Markets Canada: Okay. And then just a question for George Lewis. George, I'd be very interested if give us a number on what you think the net inflows in -- or to your mutual fund business for January and so far in February, I'll be -- it looks like a pretty good RSP season but I'll be interested to see what your thoughts are on that.
M. George Lewis: Thanks very much for the question, John. And we report our sales monthly so you've seen November was a record, November, December. A record December and January, a record December. It's continued strong in terms of February and we'll be releasing that in a couple of days. Testament to our relationship with Canadian Banking. It's a big driver of our sales at this point of the year and also our other distribution partners as well. So we would expect a very strong RSP season to our business.
John Reucassel - BMO Capital Markets Canada: Sorry, just not to put it -- it can be a record RSP season? Could you see numbers like $4 billion or $5 billion? Or is that too optimistic?
Gordon M. Nixon: We can't really comment. I mean, you'll have 2 of the months within a couple of days. We don't want to release 1.5 months early.
John Reucassel - BMO Capital Markets Canada: Well, you'll know in the first -- you'll by Friday, the end of tomorrow for March.
M. George Lewis: Just to build on Gord's comment, don't forget March 1 is part of RSP season this year, so you'll have to wait for March 2.
Operator: The next question is from Stefan Nedialkov with Citigroup.
Stefan R. Nedialkov - Citigroup Inc, Research Division: Stefan from Citi. I had one question on the domestic Canadian market and, more specifically, on the corporate lending side of things. Obviously, as the residential side starts to slow down, the banks naturally starting to think of ways to move into new sectors. In the field, the banks have been making noises about increasing market share and presence in corporate lending, specifically. Can you just give us some color on where margins are at the moment and where you would expect them to go, probably by the end of this year? Are we going to see maybe a mini pricing war for market share?
Gordon M. Nixon: Just for clarity, you're really referring to the Canadian Banking business, the commercial side?
Stefan R. Nedialkov - Citigroup Inc, Research Division: That's right.
Gordon M. Nixon: Dave?
David I. McKay: It's Dave McKay here. Certainly, we're seeing robust growth in the commercial lending side in the industry. It's nice to see balanced growth in the marketplace. It's well balanced between commercial real estate, agriculture, manufacturing, leasing, retail. We are seeing kind of a very strong activity across the country. As far as the competitive environments on NIMs, but I would say the competition in the commercial space is more intense on the deposit side, and the deposit margins are more under pressure and that's had an impact on all bank NIMs over the past quarter and over the past year. So we're seeing a fairly disciplined pricing. We're seeing intense competitive environment on structure, obviously. But I would say, if you're looking at NIM compression specifically, the deposit side is more of a brunt of that -- on pricing pressure than the commercial lending side.
Operator: [Operator Instructions] The next question is a follow-up question from John Aiken with Barclays.
John Aiken - Barclays Capital, Research Division: Morten, in terms of the provisions on the wholesale, I know that this is lumpy and I know this quarter was international/U.K. and last quarter was the U.S. But I was intrigued by your commentary saying the watch list was essentially at historic lows. In terms of the provisions that came through on the international wholesale side, can you give us a sense as to how much of that is actually related to the single credit and how we can get confidence that we might actually start to see provisions easing going forward?
Morten N. Friis: I'll try to answer that in a couple of ways. So I mean, if you look at the provisions for this quarter, I think we had a total of 9 accounts that had provisions or recoveries. We had 5 accounts of that, that were provisions. 2 of them were at the larger end and they happened to have the 1 larger one in the U.K. And as you said, the -- this is, by definition, a portfolio where the experience ends up being somewhat lumpy. The forward-looking metrics are a little difficult to have huge reliance on. But I would note that if you look at overall impaired formations, they're actually down this quarter. And as I indicated in my comments, the inventory of accounts that we have in either on watch list or with our special loans workout group for the corporate book, again, are fairly small in number, and they are in a recent historic lows. So all of that would suggest that you're likely to see quarters that or -- if you looked back over the last couple of years, you will see that we've had -- the last 2 quarters have been at the larger end. We've had for -- most for the last couple of years either relatively nominal provisions or recoveries and that is with a pipeline of watch list accounts at a level of impairments that have been at similar or higher levels to what we've got now. So with limitations of what you can use that to tell about the future, the indications are that the performance should be more consistent with how we basically plan for the loan book economics or how we look at the recent history. And we hope that this quarter is a bit of an anomaly. But given the lumpy nature of the loan book, you really have to take one quarter at a time.
John Aiken - Barclays Capital, Research Division: Please correct me if I'm incorrect, but I believe last quarter, the U.S. credit related to a hold that I don't think you could syndicate out, was there a similar dynamic in play here with the U.K. credit?
Morten N. Friis: I mean, all problem loans have a story that amount to, if it hadn't been to the fact it was bad, it would have been good. And so I'd rather not get into the specifics here. But you are right, there was an element of this where the hold number was somewhat larger than we had planned for due to difficulty in distributing the amount. Now I would note that when you then look at the pipeline of watch list and special loan situations, that is, fortunately, an unusual occurrence. But when it happens, it often has the odds of going bad on you are a little bigger.
Gordon M. Nixon: If I could just add to that as well, the -- because if there is -- that would really revert back to situations a number of years ago. One of the good things about IFRS is that under the new accounting rules, all syndications are fully mark-to-market. So it not only forces, I think, a much more aggressive behavioral change, but it also ensures that things are mark-to-market on an ongoing basis and that's the way, in my view at least, it should be.
Operator: The next question is from Brad Smith with Stonecap Securities.
J. Bradley Smith - Stonecap Securities Inc., Research Division: I was just wondering if I could get some detail on your domestic mortgage originations, if you could just give me a sense for how they developed in the quarter relative to the insured and uninsured books? And then any general comments you could make about the relative margins between those 2 books?
David I. McKay: So as we look at overall mortgage growth, we still had a very good quarter. We're seeing growth moderate across mortgages closer to the 5% range as you've seen year-over-year. We still haven't seen the full impact yet, I think, of the B20 regulations as they will start to drag the pipeline. You may see some further moderation of Canadian growth rates going forward. As far as margins between the insured and uninsured, we don't differentiate our pricing structure to our customers based on insured and uninsured. So the margins we originate in those 2 businesses would be the same. So there's not a variability there. Our customers are certainly choosing 5-year terms and 4-year terms are locking in and that's good stability of the industry going forward in any type of rising rate environment. So I think we would originate a lower proportion of insured mortgages because we don't feel with a broker channel. And when -- if you look at the balance sheet of our peers, they have a higher base of insured. Part of that is originating through the broker channel, which tend to originate first-time homebuyers at a much higher proportion of insured versus uninsured mortgages. So that is really what's going on, Brad, in our mortgage book.
J. Bradley Smith - Stonecap Securities Inc., Research Division: Terrific. Just on -- in terms of in-force, could you just break down the insured versus uninsured at the end of the quarter?
David I. McKay: We're roughly at 40% insured.
Operator: The next question is a follow-up question from Gabriel Dechaine with Crédit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Just a question on the Wealth business there for George. I know you kind of backed down a bit on your 2015 target of $2 billion of earnings. You had a good quarter in Wealth, don't get me wrong, but just want to know if you can kind of quantify where you think that target is kind of -- I mean, what it would look like today if you had to do that presentation again?
M. George Lewis: Thanks very much for the question, Gabriel. You're right, we did have a very strong quarter. I think we'll take it quarter-by-quarter going forward, but I would say that we do still have aggressive growth ambitions for the platform. In terms of our expectations for 2015, that's been deferred given the ongoing low interest rate environment. But we do have strong momentum in our largest businesses, including Global Asset Management, Canadian Wealth Management as well, where we gained share. Our U.S. business has improved significantly this quarter. And that's just coming back to Doug and Stan's comments. As we grow the large Capital Markets business in the U.S., not only has our U.S. Wealth business increased its fee-based revenues this quarter, also its transaction revenues, including new issues and we're doing a better job of placing the new issues from Capital Markets in that jurisdiction. And we continue to build out in emerging markets, as well as British Isles. So we have a number of growth drivers. I'm hesitant to give you a timeframe for those growth ambitions of a $2 billion mark, but we will be getting there.
Gordon M. Nixon: And the biggest sensitivity is interest rates.
M. George Lewis: Yes.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Okay. Then for Dave, a couple here. Cards growth, the industry, overall, is flatlining or down, yet you guys, I don't know how many quarters, it's been ticking up pretty consistently. What's driving that? Are you participating in any of the balance transfer promotions? And I don't know, Morten or Dave, on the risk rates for mortgages, how do you determine that anyway? Because I look at yours versus some of the others and it's on the low end and I know it's not always easy to compare but I know that you've got a higher proportion of uninsured mortgages, so I'd expect that to be actually higher. Is there something you can kind of point to there?
David I. McKay: I'll tackle the first question on cards because we really haven't thought of risk-weighted assets being different than our competitors, obviously. We assume they were standard ratios. So I think -- we'll see if that question -- but back to cards to start. Our cards portfolio is very, very strong. And you look at the part of the business that we're investing in. We have one of the top cards in the marketplace and not [ph] the top card in Avion. We've been investing heavily in Avion for a number of years. And it's just a fantastic product that it's been kind of leading the growth in our business. We've got the Shoppers Drug Mart card that we've recently acquired and invested in expanding. The WestJet credit card business is doing very well. So as far as our product lineup, it's very, very strong, and it's going to get stronger with the targets in the next couple of months. We certainly do participate, albeit in a much reduced way, in the balance transfer. Standardly, of doing business in the client balances historically, it's proven to be a profitable business and a good ROE business. But we're much more selective in it than we have in the past and as consumer habits change around repayments and carrying balances beyond the intro period of the discount period, that mechanism to grow your business profitably, I would say, has reduced significantly over the past 2 years and will continue to reduce. So yes, we use it. It's a less lower impact than it has been certainly and I would see less use of it probably going forward.
Morten N. Friis: Gabriel, it's Morten. Just on the risk-weighted assets, I suggest we take that offline with you because we drill down on the details of that because we don't have a good answer off the top of the specific you asked.
Operator: There are no further questions registered on the telephone lines at this time. I'd now like to turn the meeting back over to Mr. Nixon.
Gordon M. Nixon: Okay. Well, thank you very much, everyone, for joining us. We look forward to speaking with you again on our conference call next quarter, and hopefully, you'll all diligently sign on and listen to our annual report -- or our Annual Meeting, and thanks again.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. Thank you for your participation.